Andreas Trösch: Hello, everyone. This is Andreas Trosch of Investor Relations. Also, on behalf of my entire team, I wish you a very warm welcome to our conference call on the Full Year Results '23/'24 of thyssenkrupp. With me in the room are our CEO, Miguel Lopez; and our CFO, Jens Schulte; and also my colleagues from the IR team. Before I hand over to the CEO and CFO for their presentations, some housekeeping. All the documents, as usual for this call are available in the IR section on the website. The call will be recorded, and a replay will be available shortly after the call. After the presentations, there will be the usual Q&A session for analysts. [Operator Instructions] And with that, I would like to hand over to our CEO, Miguel Lopez.
Miguel Lopez: Thank you very much, Andreas and also a warm welcome from my side to our fiscal year '23/'24 conference call. Today, I will present our latest achievements and financials together with our CFO, Dr. Jens Schulte. Please let me start with some general observations. The world is changing at a breathtaking speed. We are seeing geopolitical tensions, armed conflicts, uncertainty regarding the role and course of the US and many unanswered questions also with regard to the German government. I want to confirm, in this challenging environment, we want to transform thyssenkrupp and make it successful again. We want to rebuild the company to what it was for decades, a German industry icon, a world-class technology group and a symbol of German and internal inventiveness. I strongly believe in the opportunities that arise from global challenges such as the green transformation, and we are in a position to benefit from the associated growth opportunities. How will we make this happen? Firstly, we know how to do it. Thyssenkrupp has world-leading technologies that can be used to reduce a large proportion of today's CO2 emissions, and we are already applying these technologies on a large scale for our customers. It is our clear ambition to leverage and scale those technologies going forward. Secondly, we have the right people, forward thinkers who want to shape the green transformation. And thirdly there is no way around the green transformation. If we want to keep the planet habitable for future generations, we must act now. The years until 2050 are a very manageable time frame. I'm firmly convinced that the green markets will come, and we at thyssenkrupp are already there. We are systematically aligning thyssenkrupp to this future. We want to shape the green transformation with our businesses and use it to create a profound basis for our company and its employees. Please let me give you one important example. In the past financial year, we invested around EUR690 million in research and development. However, competitive cost structures are also needed. On the one hand, this results from the political framework, but on the other hand, it is also on us. That's why performance is right at the top of our agenda. On portfolio, we want every business to develop in the best possible way regardless of the ownership structure. Where businesses can develop better in different constellations, we are not shying away from portfolio decisions. These 3 strategic priorities, portfolio, performance and green transformation, define the guidelines for our transformation. We made important progress in the past financial year, and we have set ourselves ambitious targets in all three areas for the current financial year and beyond. Jens will now present to you the financial section, including our outlook as well as some insights on our performance program, APEX. Jens, please go ahead.
Jens Schulte: Yes. Thank you very much, Miguel, and hello everybody, also from my side. Good to see you back, at least virtually. Let me start with a focused summary of some of the positive highlights of the last fiscal year as well as some of the challenges that we have been facing. Starting with the highlighting side, first of all I think it's worth noting that we actually did achieve our adjusted guidance, both on sales, on EBIT and also on free cash flow, in an environment where I think not too many companies actually do that at the moment. In that context we had another year of positive free cash flows of positive EUR110 million. As I will explain to you in a minute, that has also been benefiting from payments in the Marine Systems side that we had originally expected in Q1. But be it as it is, cash flow is positive for the second consecutive year, and I think that's a good one as well. We've had a good start with OpEx, and OpEx has actually helped, basically driving our underlying performance. I will come to that later with specific examples. We had started further restructuring initiatives, totaling a cost of EUR270 million. Balance sheet is relatively strong with EUR4.4 billion net cash position, slightly up from the previous year. Dividend payment proposed, so we target dividend continuity with EUR0.15 per share, as in the previous years. And last but not least, we also had a few home runs on the non-financial target side for diversity, for example, innovation and energy efficiency. On the other side, of course, we've also had challenges. And the biggest one is, and still remaining, is the Steel Europe situation. And symbolizing that, we had further impairments booked at Steel Europe at a magnitude of EUR800 million in Q4 and EUR1 billion overall for the full fiscal year. That is reflecting macro headwinds, sector trends, but also our own necessity to develop a better business plan. And basically, it's our start, if you wish, into the final phase of business plan development. We are seeing muted demand across the industries, particularly automotive, which as you know, is our largest customer group across all segments, but also in most of the other customer groups at the moment. And we do have -- and we do face geopolitical uncertainties also with the latest elections around us that, of course affect us as well. In Decarbon Technologies, I think we've made great progress on many of our business units. Having said that, as you know and as we already reported in Q3, we had to do a project cleanup work there, particularly at Polysius, our cement plant engineering business, where we had to book one-time costs of EUR80 million for past legacy projects. Cash flows within the project and shipbuilding businesses remain volatile, as always. So that's not a change, but it, of course makes forecasting of cash flows a bit more challenging. And last but not least, as long as we are where we are with our profitability to achieve free cash flows that are coming close to zero, we need to do very tight capital budgeting, both on the capital expenditure front as well as on net working capital management, towards the end of the year. And that's what we have been doing, I think successfully, but we always need to balance that, of course, with growth investment requirements. Going to an overview of the key financials, starting with sales, Q4 was stable over prior year. The whole fiscal year was 7% below the prior year and, with that exactly on the midpoint of our guidance of minus 6% to minus 8%. And I will analyze that for you in a second. EBIT adjusted coming out at EUR567 million. That is above our guidance of above EUR500 million. And if you would back out that special effect cost booking from Polysius, it would be, by and large, stable almost versus the prior year. Net income was expected negatively EUR1.4 billion. It's more negative than we had planned for, now that KPI is of course, directly reflecting our transformation efforts and is impacted by in total, EUR1.6 billion in special effects. And of that, EUR1 billion are impairments at Steel that we had to take again. And the other parts of these special effects are impairments in other businesses, restructuring efforts and some other smaller special effects. Free cash flow before M&A, as I said positive overall for the year. That included early payments at Marine Systems of EUR200 million. Early payments in that case just means that we have been faster with actually completing our work. So we could actually complete some projects earlier than anticipated. And with that, we received customer payments slightly earlier. And so that is basically moving from Q1 of this fiscal year to Q4 of the last fiscal year. And balance sheet, net cash is EUR4.4 billion, slightly up driven by positive free cash flows. Pensions plus/minus on prior year, a bit up on the back of decreasing interest rates. And equity ratio, now, while equity as an absolute figure has been hit by the impairments, of course equity ratio is still at a high -- healthy level of 35%, so a solid balance sheet. Now putting these '23/ '24 figures a bit into the context of our journey over the last years, you see that, on the net cash side, we are now up for the third consecutive year on our net cash position. Of course, that development has also been supported by transactions through that period. So for example, that step from '22 to '23, was also driven by the nucera IPO and proceeds coming in, but it's also helped by our stabilizing free cash flow. And so I think that's a good development. And on the free cash flow before M&A side, second year positive. And so overall, I would say, we tentatively see some early signs of track record building up here that we can show to the outside world. Let's take a quick, closer look at top and bottom-line analysis. On the top-line, as I said, 7% below prior year's EUR2.5 billion less sales. That has been particularly driven by the materials businesses, as you can see in the middle part, and that also in turn, driven by both price and volume developments. In each of these buckets, we also have positive developments. So Materials Services, for example has had a strong year for its Solutions business, which is a key strategic direction that we want to take there. Solutions was above prior year. And on the SE side, for example, the packaging business was positive. But overall, these two basically brought sales down by EUR2.5 billion overall. And that then also translated into EBIT adjusted, but much less than you would expect. So overall, we are down by EUR130 million to come to an EBIT of EUR567 million. And that does include, as I said initially those EUR80 million in cost bookings in Q3 that we already communicated. If you would back that out, then as I said, we would be relatively in striking distance of the prior year, which is also a testament to the contingency measures that we took and all of the things that we did in the FX program. Quickly running through the segments, so starting with Automotive Technology, the environment in automotive is challenging, and it still is as we speak. You can see that not only the full fiscal year was below prior year, but also the fourth quarter was below prior year by 7%. That is a reflection of where markets are, soft automotive markets at the moment. In that environment, I think the segment has had relatively resilient performance. ROS is down only by basically 10 basis points from 3.4% to 3.3%. And so that shows that we have actually worked strongly against that. And if you do benchmark work of the segment or parts of the segment against other German Tier 1 suppliers, then actually we are not doing so bad here. So while we struggle with the environment, contingency management is actually pretty good here. And BCF, so our business cash flow up to EUR277 million. So cash conversion rate is above one in that segment, or has been above one in that segment in the prior year, thanks to net working capital improvements and some cuts on the investment side. And to the bottom, we also now show some examples of our APEX program, both with a view to the back mirror, as well as a view to upcoming initiatives, and we will do that in a more structured fashion in the future to allow you to follow that a bit more clearly. So things in the past have been pricing and claims management initiatives around lower volume -- basically lower volumes coming in from our customer contracts. We've worked on procurement initiatives as well as an increasing share of aftermarket services in some of the businesses. And upcoming with a view to this fiscal year and beyond, we work on restructuring topics in several of the business units within AT. Then we further work on more centralized commodity teams to bundle procurement efficiencies. And we also have a specific initiative in Bilstein for one of our Mexican plants where we ramp up further businesses that we also track through this program. Moving to Decarbon Technologies, Decarbon Technologies has had a good year on the top-line, driven by a strong order book of the previous year. So we grew by 12% and last quarter by 22%, as you can see. Bottom-line, however, it is down, and that EUR80 million versus the prior year is very much that special effect that we've had that I already explained to the Q3 cost bookings. Apart from that, if you look into the respective businesses, Rothe Erde, which is our bearings business supplying into the wind industry, it's a good business, and it also is a profitable business. It is under a bit of pressure from market side at the moment, particularly in China, and hence is doing more restructuring work, but strategically very well-positioned. Uhde actually has had a good year. That's our ammonia plant engineering business, a very good year, turning into the positive territory again. And nucera is basically our growth case on the electrolyzer front where we basically work on capacity buildup and standardization and productization of our, so far plant engineering business. Free cash flows hit correspondingly, both by profits as well as lower prepayments. On the OpEx side, to the lower end, you see, on the left-hand side with a view to the back, growth initiatives, operational excellence, restructuring measures, so the whole spectrum. And going forward, we have defined initiatives in every business unit of the segment in Rothe Erde, improving aftermarket services to expand margins here; Uhde, further standardization and modularization of our so far very individualized and customized plant engineering businesses; Polysius services boost; and nucera basically growing sales and gross margin and so forth. On the Materials Services side, flipping to the next page, on sales, we've had a challenging year, 7% down last quarter, 11% overall. Within that as I said, I mean, this -- what's the strategic direction of the segment is basically to increase its share of Solutions and North American business to expand margins here. And it is good to see that supply chain business has been actually positive versus the prior year despite the very difficult market environment. On EBIT, we have been stable, so a very resilient business working against basically the top line development. And cash flows, you'll see cash conversion of more than 2 time. That is, of course, not a sustainable level going forward, but it has been a very, very strong year here. And so with that we also, as I said, countered the negative effects. CapEx backward-looking, restructuring measures in Europe, investments in North America, as I said, and also growth particularly on the Solutions side, that we are tracking internally and coming up is restructuring at thyssenkrupp Schulte, which is the large German material handling business that we have, further investments in Northern America and further expanding the share of services and solutions. Moving to Steel Europe which we are, of course most famous for in the press, so on that side, we are also dealing with tight markets at the moment as you can see, 13% below prior year, within that 5% volume driven and then the rest is basically price driven. Also here, we've had pockets of relative stability, such as the packaging business, for example, but overall, the business -- the segment has been down. And against that, we were also down on profits a little bit less than you maybe would expect given the top line, but we are down on profits at the moment with everything that comes with underutilization. On the cash flow side, we are even more strongly down, as you can see. That is not only driven by -- basically two reasons for that. The first one is that profits are down and particularly cash profits are down. And the second reason is that we've had less net working capital release than in the prior year. OpEx, looking backwards, sales initiatives, efficiency improvements on the production and logistics front and just general cost-cutting measures that have also found their way into the German press again. Upcoming, I think the key thing about Steel is that we are working on a new industry concept and new business plan coming up, and this will be the determining factor for the future of this business. And that's basically what we're internally fully focused on at the moment. And then closing with Marine Systems, overall, that business is good. So it is very nicely developing at the moment. Finally, the German [site] (ph) vendor, so basically, the increase in defense spending is making its way into the shipbuilding businesses. And so we developed nicely here. As you can see, sales is significantly up, very good progress here. EBIT is strong. And if you just recollect that our capital market target for this segment is 6% to 7% ROS, we finished at 5.9%, so almost made it in the last year. And that's a testament to the good work of this team here. And cash flow is also very nice here, also cash conversion above 2%. And of course, all of the customer payments do help a lot here. OpEx, looking backwards, basically optimization of our legacy order backlog, that has been the biggest thing that we have been working on to improve margins. Looking into the future, we are working on a new target operating model to make project execution even more efficient but also in-line with the volume ramp-up that we have right now. And then we also develop new businesses, the next-gen businesses where we try to grow civil maritime and offshore businesses basically. And then we have some synergies on the procurement side. Summing up the bottom-line from EBIT adjusted to net income, as I said, this bridge is very much driven by the special effects, EUR1.6 billion, EUR1 billion of which is SE impairment and then as I said, EUR200 million impairments in other segments, EUR200 million restructuring and then a little bit more for other factors. And the other thing that I just want to briefly comment on in this bridge is TKE, so our Elevator stake. That accounting result is negative, but this is no reflection of the operational performance of this business, yes. So Elevator, as you know has been bought by a private equity consortium a while ago. It is developing nicely. And so we are looking forward to the future of our stake here. And the fact that the accounting is negative is simply a reflection of the usual PE financing structure with corresponding interest rates, and we need to mirror that in our equity accounting. That's why it's negative. But underlying performance of this business is really fun. And then from there, finally moving to free cash flows, I guess the thing that I want to say here is, of course our target is to achieve sustainably positive free cash flows. We have been positive now for the second year. On a mid-term horizon, to achieve sustainably positive free cash flows and maybe even invest a bit more requires us to achieve the bottom end of the range of our capital market profitability target, which is 4% ROS. When we achieve that, then basically free cash flows turn into the sustainable positive side even if we want to invest more and even if we have less net working capital releases. But yes, happy to have achieved this result in the past fiscal year. Okay. Turning to this fiscal year outlook, now there is one change that I want to comment on. So just one note on our guidance structure. We are changing now, as you can see, to a more specific guidance. So we are coming from prior qualitative guidance indications along the lines of higher and lower three digit millions and things like that. We are now turning to specific quantitative guidance. Naturally, at the beginning of a fiscal year, this guidance is very broad, right, because we are at the beginning of the year and the environment is also very uncertain, and we expect to narrow this down throughout the year with further business being booked in. Taking you quickly through our logic here, so on the top-line, you see that our -- we are guiding 0% to 3%, so a slight growth. The market scenario -- market model that we have behind that is that we expect, in the first half of our fiscal year still a difficult environment and then, in the second half of the year, some stabilization and some parts turning into the positive. If you look at our trend or if we look at our trend, sales trend run rates at the moment, we see a little bit of support for at least that the worst is behind us. But of course, we are not yet in the positive fully. Q4 was good. It was stable, but we still need to see whether that scenario is working out. That is basically what we have defined as our market scenario for this year. On the EBIT adjusted side, we are guiding EUR600 million to EUR1 billion, so basically slightly -- from slightly above the prior year to significantly above the prior year, driven by both top-line but also strongly by efficiency measures in our structural profitability measures within OpEx. And then free cash flow before M&A, minus EUR400 million to minus EUR200 million. Now, very important to comment on this one here. This is not -- I repeat, it is not a fall back into historical behavioral patterns or something like that. It's simply a reflection of the fact that we have quite significant restructuring activities going on at the moment. I commented on the costs that we booked last year, and now the payouts are coming here. And that even does not yet include anything that may be coming out of the Steel business plan. So we anticipate already right now EUR250 million in restructuring payments, and that is basically bringing out free cash flows before M&A that otherwise would be or could be again close to zero. And the second remark on that one, while we -- of course, this is our key KPI that we are measured against, free cash flow before M&A. If you would just for one second look at after M&A, as you know, we just completed the signing of the divestiture of our Indian electrical steel business, which we'll book in a EUR440 million purchase price. And then after some taxes that we need to pay still a significant amount will come in. If you would model that against this free cash flow before M&A to look at free cash flow all in, this would be around -- or positive. And so we are still commit there, without any change, committed to delivering sustainably positive free cash flows. On the segment side, yes, I don't want to go through each and every detail here. You see different growth assumptions here building on individual market models and all of these different things. DT is negative because of a muted order book this year, but it's, we still believe, in the growth case of this segment. And maybe what I would like to highlight again is, as I said, last fiscal year, one of our segments almost achieved its capital market guidance. For this fiscal year, as you can see with the two yellow bubbles on the right-hand side, we see a good chance that two of our segments achieve their capital market targets, Materials Services and also Marine Systems. And so with that, step by step by step, we are committed to taking our segments to our capital market targets that we defined. Closing my part with a word on APEX, our performance management program we are coming from APEX 1.0, if you wish, that we pretty much used to mobilize the whole organization and refocus everybody on capital market targets. It was a central top-down approach, or started top-down and then transferred to the segments. And we built a significant amount of contingency and other measures throughout this first program of EUR2.1 billion for the two fiscal years '23/'24 and ' 24/5, of which EUR1.2 billion have been actually used in the last fiscal year to counter those negative effects coming out of the top-line degradation. If you just think that we lost EUR2.5 billion in top-line and then make your mind of what contribution margin this could mean, this has basically helped us stabilize the profit to where it has come out. So that was basically APEX 1.0. I think it was a good success. And now we're switching to the second gear. We go to a more decentral approach, even more segment-driven. We focus more on the top structure performance improvement projects that are required for us to achieve structural profitability step-ups. And I mentioned some of those to you in the individual segment charts. And in the future, we will give you updates as to where we stand with these initiatives and overall, whether we are on track or whether things haven't really worked out, to move you a bit closer to that. We will accompany this with additional things, a playbook process, as you know from -- very much from private equity or other investment situations just to drive this thinking of continuous improvement into the organization. And we also have a focused small culture process attached to that to drive performance culture more into the organization. We will not communicate any more additional new APEX targets on top of the ones that we had put out last year. The goal that we basically have with these measures is to secure the achievement of our guidance, and that's what we aim for. And with that, handing back to Miguel to close on midterm guidance and the strategic summary.
Miguel Lopez: Thank you very much, Jens. Let me keep this one short. The important message here is that our midterm targets are confirmed. For the group, that means we continue to strive for an EBIT adjusted margin of between 4% to 6%, as a result a significant positive free cash flow before M&A and reliable dividend payments. For Steel Europe, you all know that we are working hard on the new business plan, and therefore, it is clear that this will result in new targets that we will communicate as soon as possible. The other segments' targets are unchanged, and as Jens mentioned earlier, have been partially reached already. Now let's have a look on our strategic agenda for fiscal year '24/'25. Overall, I'm convinced it will be a year of milestone decisions. Let's start with a look back. We have already made important progress, in particular at Steel Europe. In April of 2024, we agreed on a 20% sale of Steel Europe to EP Corporate Group. The transaction has already been completed within fiscal year '23/'24. Through EPCG's investment, we combine thyssenkrupp's leading materials know-how with the energy expertise of a leading European energy company. I'm sure that, together, we will significantly improve the competitiveness of thyssenkrupp Steel. The cooperation with our co-shareholder, EPCG, is extremely constructive. The same is true for the ongoing talks on deepening our partnership as the declared target, the next logical step, is to create an equal 50-50 joint venture. However, in order to take the next steps towards independence, we first need clarity about the future direction of the steel business. That means the new business plan, which also includes the green transformation of steel. What quantities can be sold in the market? What prices can be achieved? How will the costs develop? What investments are necessary, and how can all this be financed? All these issues must be included in a viable and resilient business plan for the coming decades. This makes the task extremely complex, but it is necessary in order to make the steel business profitable again and to decarbonize it in the long-term. In addition to this, we announced a further important step in the realignment of Steel Europe in October, the sale of thyssenkrupp Electrical Steel India to our local JV partners. The expected proceeds of EUR440 million will improve the capital base of Steel. We have to act and not with a rudimentary approach that will leave us in a similar situation to today after a short-time, but with a view to the entire steel business and for the coming decades. Hence, our approach will include; first, meet the climate protection requirements; second, adapt flexibly to the uncertainties of the steel market; third, define the new operating point; fourth, revise our mix of value creation and location structure; and fifth adapt the number of jobs accordingly. Another focus of our portfolio streamlining is Marine Systems. In the past financial year, we laid important foundations for a stand-alone solution. Current forecasts indicate an increasing demand in Marine Systems' core businesses over the next 10 years. The long-term geo-strategic developments offer us new opportunities for growth, which we intend to exploit to the best of our ability by positioning ourselves independently. To our regret, the private equity company Carlyle has withdrawn from the bidding process. It is not for us to discuss what exactly led to this decision. What we can say, however, it's not an economic decision, has nothing to do with the financial performance of the Marine business. On the contrary, the business is going very well and the order books are full. Despite that, discussions with the German government are continuing and KfW is further performing their due diligence. At the same time, we are examining other options, above all the spin-off of Marine Systems, but are, of course also open to industrial partnerships. We remain committed to our chosen path of making our Marine System independent. Let's move now to the green transformation. The opportunities are there. We have to leverage on them. The new segment created a year ago, Decarbon Technologies, combines four of the world's largest and most recognized industrial providers of innovative cutting-edge technologies in the field of green transformation. The task now is to drive forward the transformation of DT's business models away from individually manufactured large-scale systems towards increased modularization and standardization of products and the expansion of the profitable service business. This applies in particular to Polysius and Uhde. However, we are already strongly positioned today. For example, Polysius is supplying the central technology for the first CO2-neutral cement plants worldwide. Polysius will build two plants for CO2 separation for the Greek Titan Group. These plants are expected to save around 1.9 million tonnes of carbon dioxide per year from 2029, which corresponds to around 12% of all greenhouse gas emissions from Greek industry. Thyssenkrupp nucera is also developing very positively. With alkaline water electrolyzers, the company offers a proven and efficient solution for the production of green hydrogen on an industrial scale. In order to further expand its market position as a technology leader, thyssenkrupp nucera is adding innovative high-temperature electrolyzers to its portfolio. One business example from fiscal year '23/'24, back in May, the energy company Cepsa selected thyssenkrupp nucera as its preferred supplier for a 300-megawatt electrolyzer plant for green hydrogen in Spain. Uhde is also well positioned for the green transformation. The business is ready to meet the growing demand for green ammonia, green methanol sustainable aviation fuel and carbon capture technologies. The company is also developing carbon free technologies such as ammonia cracking and biomass gasification. Our slowing bearing business, Rothe Erde, is struggling with a challenging wind market in China in the short-term. However, we continue to see great growth potential in the medium and long-term. We are focusing on innovations in order to increase our market share in the long-term. For example, Rothe Erde is increasingly offering customers from the wind industry modular system solutions that reduce the cost of developing, building and transporting wind turbines and make the energy transition more cost effective. And last but not least, in addition to the necessary restructuring measures that we have initiated and will further do, we are continuing to invest systematically in the future of thyssenkrupp. With more than 3,900 employees in research and development, we are one of the strongest research-based technology companies in Germany. Despite all current challenges, we should not doubt that thyssenkrupp has a bright future. We will provide proof-points in the quarters to come. And with that, we are at the end of today's presentation, and I would like to hand over to Andreas. Thank you all for your interest, and we are now ready to take your questions.
A - Andreas Trösch: Thank you, Miguel, and thank you, Jens. We will now start the Q&A session for our analysts. Again, we are using Microsoft Teams from now on. [Operator Instructions] Let's start now. The first one here is Jason Fairclough, please.
Jason Fairclough: Thanks very much for the presentation guys. Look, two questions from me. One, I just wanted to make sure I understood the way APEX is feeding through into the financials. So I think you're claiming that you've achieved EUR1.2 billion in EBIT improvement this year, but that seems to be bigger than the EBIT for the full year. So is it fair to say that, without APEX, you would have lost money at the EBIT line this year? That's the first question. Then I'll come back with the other one.
Jens Schulte: So the short answer, Jason, is yes. It's actually the case, yes. So that really made the bottom line. And without it, we would have been loss-making.
Jason Fairclough: Okay. That's helpful. The second question then is just on the Marine disposal. And I think, if we go back in time, the KfW had been instructed to take a stake at least to do the due diligence, but ultimately to take the stake in Marine before the summer break. Here we are, we are almost at the end of the year. Obviously, there is some political change in Germany. But I guess the question is, is this a deal that can actually happen? Or is it just something you're going to end up being stuck with because people prefer the status quo?
Miguel Lopez: Thank you for this very relevant question as well. I think the intention of the German government is clearly that a consolidation takes place in the industry. And that's the reason why there is this interest being pursued over time. The delay that you perceive is there. On the other hand, we still have a clear opinion that the intention is still there that they would like to take a stake in the company. And probably that would be something that will take place earlier than later. However, and you mentioned it before, the latest developments in the last two weeks with the announcement of a new election date is for us, difficult to interpret in regard to exactly this topic. So intention is there. From a strategical, also country perspective, it makes a lot of sense. But probably we need to take in consideration the changes now in the political landscape.
Jason Fairclough: Okay. Thanks very much guys. Appreciate the presentation.
Andreas Trösch: The next question comes from Boris Bourdet.
Boris Bourdet: Hello, gentlemen, can you hear me.
Andreas Trösch: Yes.
Boris Bourdet: Hi, thank you for taking my questions. I have two. The first is on the steel business plan. I know it's still early days, but I would be interested in getting into knowing what kind of timing for the finalization of the business plans, and if you could share some of the main metrics, main assumptions, behind the business plan in terms of maybe capacities, price of steel? And also maybe we've seen some very wide range of amounts in the press. What would be the required amounts that the holding would have to fund the stand-alone business for making any deal with EPCG? And maybe another question on decarb and free cash flow generation. There have been talks about cost overruns lately. So what would the CapEx look like beyond the current fiscal year? And when do you expect this sustainable free cash flow to be reached? What would be the new medium term? I know the last one was '24/'25. What would be reasonable assumptions according to you? Thank you.
Miguel Lopez: Let me start first with the Steel business plan. I think it's important now that we expect this business plan now in the next months from the Steel management. You have seen that we assembled a new team there, and they are working on the plan. And as soon as we have this plan and agreed on the plan, we will certainly communicate it. It will be coming in the next months. So in terms of -- in terms of decarb, Jens, would you take over?
Jens Schulte: Sure, sure. I can do that. I guess the second question attached to that one that you raised was how much funding is required for the Steel business? And here, that very much depends on the specific business plan, right? So I will not push out a new number today. And as you correctly said, there were huge ranges in the press all over the place a couple of weeks ago. Of course, our intention is to have a business plan that is attractive enough to get along with more limited funding, so more towards the lower end of maybe ranges, but no new number today. So it really depends on how exactly the business plan will look like when we are publishing it when it's ready. On that other point of when are we ready to come to sustainably positive free cash flows, first of all, so overall for the group is my interpretation is your question. So overall first of all, I think it's worth noting that we've had two years of positive free cash flows, right? So we delivered even in this current environment. Now, as I said, with a medium-term view, of course, to get to sustainably positive free cash flows and also economic profits, so TKA value-added requires the lower end of our capital market target range for the whole group, which is 4% ROS. And where do we stand with this one? So as I said, last year, we achieved our target in one segment. This year, we are targeting to achieve our target in two segments. And when we achieve the targets on the other segments really depends on the further market development. So today, we are not issuing a new date for that simply because of the uncertainty around us, particularly also including our most important customer industry, automotive. And as long -- as soon as the focus clearing more and we have a more robust market model, then I think we will return to more specific guidance on the other points. But as I said, we take it step by step by step, first segment last year, two segments this year, and then we take it piece by piece.
Boris Bourdet: Okay. Then just to follow-up on the funding, the lower end, that would be EUR1.3 billion. Is that correct?
Jens Schulte: No, no. So I wouldn't -- lower end means in the abstract universe of numbers that are floating around. So I didn't have a specific range in mind here. I'm just saying that we are building a business plan that is targeting to be financeable and requires less money so to speak. But you can't read any specific number out of my statement.
Andreas Trösch: Thank you very much. And the next question comes from Bastian Synagowitz.
Bastian Synagowitz: Good afternoon, can you hear me well?
Andreas Trösch: Yes.
Bastian Synagowitz: Perfect. So I'll just stay on Steel for the moment. And so I just wanted to check. I guess the process now on the business plan already has been going on for some time. I'm just wondering which are the key questions where you're currently stuck and debating? Is it mostly the capitalization, or which are the key areas which are basically deferring the development here? That is my first question.
Jens Schulte: So maybe I'll just start and, of course, Miguel can -- should chime in here. So I guess, Bastian, the key point here is not so much that we're currently stuck in key questions. So overall, as you correctly say, we have been working on this for quite a while. And then, as you know, we've had -- we actually affected a management change mid of this year to bring more -- exactly more pressure and ambition level on this topic. And that basically happened in end of August. Then we brought in a new team. This new team is working at maximum speed on this topic now. And so it's just a matter of basically coming together, crunching numbers and bringing all of the pieces together that are not yet finished here. But it's not that we are stuck with specific questions. And as Miguel said earlier, we are confident that this will come to at least first industry concepts within the foreseeable future.
Bastian Synagowitz: Okay. That is very clear. Then just to stay with Steel again, and actually on your outlook where you're clearly implying at least some improvement in the next business year, I guess we are obviously heading towards contract negotiations. Automotive is one of your key customer groups. I guess, at the moment, there is a lot of pressure on that segment, which probably perceptually doesn't bode too well, as to how these contract negotiations may potentially go. Now what's driving your optimism in steel here? And how far are you banking for a market rebound? Is this like a near-term rebound? Is the improvement mostly cost driven? Or do you expect indeed a market rebound maybe earlier or later in the later part of the year?
Jens Schulte: Maybe again, I'll start and then Miguel, feel free to chime in. So I think on the steel side, the majority of the -- of basically the anticipated performance improvement is not so much volume driven. It's actually more efficiency driven. We see significant efficiencies in this business. And that goes along the full way of as you correctly indicate, pricing, not only in the automotive, but also towards all of the other areas, but also SG&A efficiencies where we are cutting more strictly at the moment and energy procurement efficiencies and a few other things. So that's basically what we are focusing at the moment. It's fair to say, though as I said earlier, that given the current uncertainty around us and also in the automotive industry, certainly for the Steel business to achieve its targets will be probably among the higher challenges in our portfolio, no doubt about this. And we will need to take a look at that also in the context of the new business plan that we are developing. But long story short, it's not so much -- we do not so much bank on market rebounds here. We rather go for cost measures, particularly.
Bastian Synagowitz: Okay. Then maybe moving over to Marine Systems, which is developing actually quite nicely and I guess that probably strengthens your position obviously in the current discussions. My first question is just whether a strategic partnership by now is basically off the table or whether there are still any active discussions which you're currently having? And then also on the, I think involvement of KfW, my understanding was actually that the KfW had already finalized its due diligence process. It's basically now only sitting with the government for a decision. Maybe you can just clarify this. And then technically speaking, does the KfW actually need a Parliament decision to take the stake?
Miguel Lopez: So thank you Bastian. The clear orientation right now for us is the spin-off. We are driving the spin-off. And if there would be some parties interested in a cooperation, they will of course, let us know. But the way we are driving the Marine System independent setup is now to go for the spin-off. As we have been indicating for the last 18 months already that we were pursuing the PE solution and the spin-off in parallel and now, after PE disappeared, now we are going for spin-off very clearly. So we would not now go for losing time because of other considerations. We are going for the spin-off. The second is, of course to take a stake is a decision of the government. And we will see, as mentioned before what we could expect from them right now given the actual situation on a new election that will come in the next months. But again, I believe the strategic interest of the government will be also there in the government to come, and it would also give to us a strength, an additional strength in the setup of a spin-off.
Bastian Synagowitz: Okay. Understood. And then just the KfW, has it already finalized the due diligence process, or is this still ongoing?
Miguel Lopez: Well, would it be okay for you if I tell you that you need to ask the KfW?
Bastian Synagowitz: Okay. No worries. Yes, absolutely.
Miguel Lopez: With all the due respect.
Bastian Synagowitz: Okay. But then maybe just coming back to the questions you -- I guess you can answer. I guess when you talked about the rationale here one of the reasons also is you want to grow the business, and that requires more capital. It is a business which has a good prospect, but you're probably not willing to maybe provide that capital from the current parent. So what amount of capital or what numbers of capital are we talking? Is this three-digit million numbers, maybe sort of mid-3 digit? Or is it possibly more than that? Is there anything you can potentially disclose on that front at this point?
Jens Schulte: I guess maybe to be precise here Bastian, I think, when we are talking about capitalization of the business, it's not so much putting more money in because the business is cash flow positive, right? So it is largely self-financing itself, so to speak with maybe some bridges required here and there. But I think this would be -- I mean, they could finance themselves in a stand-alone scenario. I think what we're talking about here is rather the financing structures in the sense of guarantees that we need to give for prepayments, right? And you know this topic. It has always been a topic for us. So when customers pay, then, of course, they require, as always, a certain guarantee for those payments. And given the volume development of this business, these guarantees have huge volumes that overall drag on our current financing of the group. And so the idea is to spin it off and bring the state in because, once the state is in, then, as with most of our competitors in this field, then these guarantee structures are limited or not at all required anymore. So that's one logic of the spin-off plus governmental involvement.
Bastian Synagowitz : Okay, very good. Thank you.
Andreas Trösch: Thank you very much. [Operator Instructions] And the next question comes from Christian Obst.
Christian Obst: Yeah, thank you. Good afternoon. First, again on Marine Systems, it's right that it's a precondition that the KfW takes over the guarantees before you go further in the spin-off process, right?
Jens Schulte: Yes, actually whether it's technically KfW or another governmental entity would still need to be seen. But one idea is exactly that the state would take a role here. That is true.
Christian Obst: Okay. And without that, you would not go for a spin-off or it's not possible?
Jens Schulte: Yes, we could still do that. Of course, we -- our preference is to have the state in for various reasons, and that is a strong one. If for whatever reason -- and I mean, clearly, we don't have any indications in that direction whatsoever. But if, for whatever reason, the state doesn't want to join us, then we still can do a spin-off. Then in the first step, we need to still provide some of the guarantees, and then we need to see how we refinance that over time, yes. So it's not -- it would not be an impediment, but it would be much easier with the state in.
Christian Obst: Of course. Then concerning -- I'd like to have your opinion concerning the elevator stake. So as you get no interest payment for that stake, do you like to wait until there is an IPO and you can get money out of that stake? Or do you -- are you looking for additional options of how to get rid of that stake?
Jens Schulte: Well, at the moment, we are clearly in a waiting position because -- for two reasons. First is we don't need money immediately, right? We have a strong net cash position, and we have positive free cash flow, so no need to monetize that stake. And the second reason is that, as I said, business is developing well, and we are -- we would like to wait until the owners of that business go for more specific exit plans and then go along with that. That's at least the status that we have today.
Christian Obst: Okay. Then besides Steel and Marine Systems, you have additional portfolio measures maybe. What is the current status when it comes to Automotive and also the trading business or Material Services? Is there any kind of divestment process within Automotive, maybe for body solutions or engineering? And is there a divestment process for part of the trading business in Materials Services? Or what is the current status there?
Jens Schulte: On the first on automotive, we do have a running -- still running process on springs and stabilizers. Many of you guys that follow us for a while know this topic, right? It is not new. It's still running and cooking, if you wish and we are still in negotiations with a potential partner here. On automation engineering, we actually stopped the process. So here, we thought that the likelihood of successfully executing is too low, and we are now starting to gradually ramp down part of the powertrain business at one of our locations. On the materials side, we are actually not yet, not at the moment, considering any divestitures. As I said, we are restructuring thyssenkrupp Schulte in Germany, but still believe in a better future. And if anything maybe, in the future, with a view to the US, we could actually think about on the contrary, smaller add-ons, bolt-on acquisitions to build our position further there because the structural margins in the US, as you know, are much better than in Europe in this business.
Christian Obst: Okay, thank you. And then some kind of a housekeeping question. So of course, there are lower interest rates than average, and that had an impact on the pensions. On the other hand, you have increased your weighted average cost of capital from 9% to 11%. Can you give us the main ingredients for that kind of increase by 2 percentage points?
Jens Schulte: So that actually has been happening in the year. Now I need to look to Andreas. And I think this has been happening the year before the last fiscal year, right? So that increase from 9% to 11% was in '22/'23. And I have to admit that I don't have the exact composition of that increase. Mainly interest rates Andreas is saying, yes. But I mean, that was basically before my time. So last fiscal year, we didn't change management reporting wax, but it was the year beforehand.
Andreas Trösch: We can come back to you with the answer, Christian.
Christian Obst: But in the -- in your report, on Page 54, I see it on the right there, it's right before, in '22/'23, was 9% and then '23/'24, 11%.
Jens Schulte: Yes, exactly. But what I was saying is that the modeling of this and the preparation of the change was in the year before that. So basically, when I was coming in middle of the year, that was already operating. But let's come back to you. So I don't have the exact composition here.
Christian Obst: Thank you very much for your answers. All the best.
Andreas Trösch: Thank you. And we have a follow-up question from Jason Fairclough.
Jason Fairclough: Thanks guys. So I'm just working my way through the annual report. I'm up to about Page 276. And I was wondering if you could maybe just help me out. What I'm trying to get to is some more color around the transaction that you did with Mr. Kretinsky on Steel. And in particular, I guess I was looking to see if there were actually any cash proceeds or even cash outflows associated with that transaction. So if you could point me to the right page in the Annual Report, it would be really helpful.
Jens Schulte: So I can answer the question, but not point you to the right page out of my head. So sorry. I would need to look that up as well. So the answer to that is, yes, there have been cash proceeds, which we have not disclosed, right? And so I would like to stick to that. And actually, as a matter of fact somewhere, we commented on that, but let's get back to you on this one, where exactly that is in the Annual Report. I don't have the page number out of my head.
Jason Fairclough : Okay, thanks very much.
Andreas Trösch: Thank you very much. And there is another follow-up question of Bastian Synagowitz.
Bastian Synagowitz: Yeah, thanks for taking my follow-up as well. Just a technicality as well on Elevators, I was wondering, is the stake which you own there, is that in a closed end or in an open-ended vehicle? And maybe also if you could share with us the updated book value of your share there?
Jens Schulte: So on the first question, I need to ask the counter question, what exactly do you mean with this closed-end or open-ended vehicle?
Bastian Synagowitz: Well, earlier, you said that you would probably reconsider your holding there once the actual operator is exiting. So I guess, if it's a closed end, there would be a natural time line towards exit which you would be subject to, I guess, so hence the question. Or is this just like an open-ended vehicle where this could actually sit there for an undefined period of time?
Jens Schulte: Well, basically, it is for an undefined period of time. So we are pretty flexible in what we want to do with this share. But as I said, a natural scenario for us would be looking at going along with an exit.
Bastian Synagowitz: Okay. Understood. And the updated value of your stake there?
Jens Schulte: Let me look that up. And we're just waiting for the next question. So the team is saying around EUR1 billion is the current book rate. I think it's actually slightly more than that, to be quite honest. I think it's -- we are at EUR1.4 billion now, out of my head. But yes, that's [indiscernible]
Bastian Synagowitz: That's the vendor note, I think which was linked to that as well. Okay, thanks so much.
Andreas Trösch: Thank you very much. And there is another follow-up question from Christian Obst. Sorry, another follow-up question of the Boris Bourdet.
Boris Bourdet: Shall I go?
Andreas Trösch: Yes, please.
Boris Bourdet: Okay, thank you. I'm back to the decarbonization. We've heard of cost overruns, and we see some of your peers in Europe postponing or adopting a bit more flexibility on their options through the decarbonization journey. So I would be interested in getting your qualitative comments on that, on how you see things evolving. And maybe if you could hint at the CapEx dynamics past 2024, [2020] (ph) from the current fiscal year. Thank you.
Miguel Lopez: So you are aware that we are, right now, of course, taking a very close look to the prices of the green hydrogen and looking for how do we -- how we will initiate the journey with the direct reduction plant as such. Of course, right now, we need to understand, whether for the beginning of the operations of the DRI, gas would be -- natural gas would be the choice. And we are also taking a look to how long it would be the choice in order to operate this plant profitably, and this, of course, in very close cooperation with the ministry, so the Bundesministerium für Wirtschaft. And this is ongoing talks. So of course, we are determined to start operations. And of course, we need to see with what kind of gas we do it. And right now, it looks like it would be natural gas for a longer time than initially expected.
Jens Schulte: Let me just, before the next question is coming up, correct my previous statement on the -- Bastian, for you on your question on the elevator stake. So that was EUR1 billion. So the first answer was correct. The second one was not correct. So EUR1 billion is the book value.
Andreas Trösch: All right. Thank you very much. That's actually concluding all the questions that we have from the analyst side. So thank you very much. Everyone, have a great day. And if you have follow-up questions afterwards, please let us know on the IR team. Thank you.
Miguel Lopez: Thank you.
Andreas Trösch: Thank you very much, guys.
Jens Schulte: Thank you. Bye-bye.